Operator: Hello, my name is Jason and I’ll be your operator this morning. I would like to welcome everyone to the Garrett Motion Conference Call. This call is being recorded and the replay will be available later today. After the company’s presentation, there will be a Q&A session. I would now like to hand the call over to Paul Blalock, Garrett’s Vice President of Investor Relations.
Paul Blalock: Thank you, Jason. Good day and welcome, everyone, and thank you for joining the Garrett Motion Fourth Quarter and Full Year 2022 Financial Results Conference Call. Before we begin, I’d like to mention that today’s presentation and earnings release are available on the Garrett Motion website at garrettmotion.com, where you will also find links to our SEC filings, along with other important information about our company. Turning to slide two, we note that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act, and we encourage you to read the risk factors contained in our filings with the SEC, become aware of the risks and uncertainties in our business, and understand that forward-looking statements are only estimates of future performance and should be taken as such. The forward-looking statements represent management’s expectations only as of today, and the company disclaims any obligation to update them. Today’s presentation also includes non-GAAP measures to describe the way in which we manage and operate our business. We reconcile each of those measures to the most directly comparable GAAP measure and you’re encouraged to examine those reconciliations, which are found in the appendix to both the press release and the slide presentation. Also in today’s presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today is Olivier Rabiller, Garrett’s President and Chief Executive Officer; and Sean Deason, Garrett’s Senior Vice President and Chief Financial Officer. In addition, I would like to introduce Eric Burge [ph], who joined Garrett as Head of Investor Relations earlier this month. He is based at our North American headquarters in Plymouth, Michigan and is now responsible for Investor Relations. I will remain at Garrett until the end of March to ensure a smooth transition of all activities to Eric. I would like to thank everyone for your time and support over the past five years and wish you and Garrett a very successful future. I will now hand it over to Olivier.
Olivier Rabiller: Thanks for joining us and welcome everyone to Garrett fourth quarter and full year 2022 results conference call. First, I would like to personally thank Paul for his support since the spin-off and I'm wishing him all the best. I would also like to welcome Eric as our new Head of Investor Relations. I will begin my remarks on slide three, where we start with the highlights for the year. Garrett had a strong 2022 performance, and I'm very pleased with these results. I would like to recognize the global Garrett team for their dedication and flexibility, which helped achieve our results in what continues to be a volatile environment. In Q4, net sales were $898 million, up 4% from the same period last year on GAAP basis, but up 15% on a constant currency basis. Adjusted EBITDA was $140 million in Q4 versus $129 million in the same period last year. Our Q4 adjusted free cash flow was the highest quarter of the year at $162 million. This strong operating performance offset headwinds from inflation a weaker euro and sequentially lower volume that were mainly driven by late in the quarter softness in China, but I want to take a moment, and give a special thank you to our employees in China, who once again, and all the COVID disruptions in the first quarter in a very effective manner. In Q4, we also benefited from a richer mix driven by our higher margin commercial vehicle and aftermarket businesses. For the year, net sales were just over $3.6 billion, down 1% on a GAAP basis, but up 8% on a constant currency basis compared with 2021. This outpaced global light vehicle production by 200 basis points. This growth is driven by our successful efforts in recovering full inflation pass-through improved mix and strength in gasoline volume, essentially offsetting FX headwinds. Full year adjusted EBITDA was $570 million near the high end of our latest outlook, but down 6% versus 2021, mainly due to FX. For 2022, Garrett delivers a solid improvement in productivity and pathway inflation, even as we increase investment into electrification technologies. Importantly, Garrett continues to achieve his target and manage volatility. We accomplish this by flexing our highly valuable cost structure to offset ongoing volatility in production. Supply chain disruptions, including semiconductor availability, and lower demand in China during lockdowns. The 2022 full year adjusted EBITDA margin was 15.8%, compared with 16.7% in 2021. While the margin is lower than last year that's what inflation costs along with FX at the combined impact of 80 basis points. Sean will discuss this in more details in a few minutes. However, taking this into consideration, the 2022 margin are essentially flat with 2021. In 2022, Garrett accomplished great inflation pass-through, which along with significant productivity improvements, offset inflationary pressures. This was an important achievement, and the results of very effective coordination throughout the company. Garrett's ability to consistently generate cash and produce solid margins, even in times of volatility is a direct result of our highly valuable cost structure, and our track record of fixing that cost structure. In addition, our grow product portfolio helps manage solid performance across business cycles. For example, our combined sales from our higher margin commercial data earnest on market products on price 31% of net sales and is independent of light vehicle trends, and contributes to earnings stability. Throughout 2022, Garrett both simplified and deliberates its balance sheet. Specifically, the generation of $313 million is adjusted free cash flow enabled us to fully redeem the series B preferred shares early in 2022 and later in the year to settle the Series A dividend payments for Q3 and Q4 in cash. Garrett's financial flexibility is also enhanced by our low interest payments at favorable terms, with 80% of our long term debt now at fixed rates. Most importantly, Garrett continues to maintain a strong liquidity position of $721 million, with no significant debt maturities until 2028. Q4 and 2022 full year results once again demonstrate Garrett's ability to deliver strong results and -- in a volatile environment, while continuing to enhance our financial flexibility. Turning to slide four, Garrett's core business performance is an nth by our differentiated technologies. In gasoline products, which includes hybrid electric platforms, turbo penetration keeps increasing. In fact, the latest S&P forecast for light vehicle gasoline turbo penetration is forecasted now to grow from 47% in 2022 to 51% in 2025. As we will later discuss, we also expect our strong business win rate to translate into share of demand gains in 2023 and beyond to drive even greater growth for Garrett. The Variable Nozzle Turbine of VNT applications are a Garrett innovation with decades of technology leadership. Emerging gasoline VNT applications are expected to ramp up threefold, reaching 35% industry penetration by 2025. Garrett's long story in diesel products has continued also to prove resilience as lightweight commercial vehicles now represent 50% of our diesel volumes and we expect it will -- we expect it will continue to grow. Our on-highway turbo business is equally resilient with S&P projecting 20% -- 22% on-highway industry growth from 2022 to 2025. In off-highway product also, turbo adoption is projected to add even greater growth increasing from 52% in 2022 to 60% penetration by 2025. Our innovative E-Turbo and E-Compressor solutions continue to gain momentum in the meantime as we add a new customer contract in 2022 for this exciting new technologies. Lastly, emerging new hydrogen ICE products require 100% penetration of highly engineer turbos. We expect to launch these H2 ICE products into production later this year already. Summing it all up, Garrett's continued new business win rate of about 50% since 2018 continues to drive new commitments and programming, while extending for many years into the future. I will awarded business already represents 88% of our projected 2025 sales, highlighting the strong visibility of future revenue. Now, turning to slide five, Garrett is driving differentiation in electrification. On the left hand side of the page, you can see Garrett's key differentiated capabilities in turbo machines where we have high precision component design and unique high speed balancing capabilities. The development of E-Boosting has also enabled us to build unique cutting edge knowledge and capabilities in high-speed motors and power electronics. High-speed motors such as the one developed for the E-Turbo can rotate in excess of 200,000 rpm and Garrett has also designed and engineered high switching speed power electronics and coupled [ph] software. Our aim is to leverage these advanced capabilities to provide our customers with differentiated solutions they need to address other non-turbo-related electrification challenges where power density and efficiency are key. I am very pleased to report that in Q4 Garrett won a first high speed E-Axle pre-development project with a major global OEM, being awarded a pre-development in this area is a major victory for Garrett. We are also working with more than 10 additional customers on these very unique high speed concepts. In the fuel cell area, Garrett continues to win series development awards for commercial vehicle applications. In 2022, Garrett won three series production contract for our fuel cell products, one in North America, one in China and one in Europe. To help you size up the traction we have here, let me tell you we provide 200 prototypes to key industry innovators and we are currently working with over 15 engaged customers. With that, I will now hand it over to Sean to further discuss our financial results and 2023 outlook.
Sean Deason: Thanks, Olivier, and welcome everyone. I will begin my remarks on slide 6. Looking at the upper left hand graph, you'll see reported net sales for the last eight quarters with Q4 2022 at $898 million, up from Q4 of 2021 by 4% on a GAAP basis and 15% on a constant currency basis, driven by continued pass-through inflation and favorable mix. Looking at the upper right-hand side of the page, Q4 2022 adjusted EBITDA of $140 million was up 9% from $129 million last year. The adjusted EBITDA margin in the period was 15.6%, up from 15% last year, and includes the dilutive impact of FX and inflation pass-through of 70 basis points. On the bottom left hand graph, we show that Garrett generated positive adjusted free cash flow of $132 million in Q4 2022, up sequentially from $120 million in Q3, 2022. And the best quarter of the year, even with the slowdown of volumes in Q4, mentioned earlier by Olivier. Turning to slide 7. We show our Q4 net sales bridge by product category as compared with the same period last year. Net sales were up 4% on a GAAP basis and 15% on a constant currency basis. We had double digit gains across all major product lines driven by our ability to pass through higher costs and a flat volume environment combined with improved mix primarily across commercial vehicle and aftermarket businesses partially offset by effects. All verticals improved compared to the prior year with gasoline products up 17% at constant currency, adding $60 million in sales, gasoline products now comprise 42% of reported net sales with versus 41% last year, driven by new program launches and share of demand gains. Diesel products grew 13% in constant currency, adding $29 million to sales and comprise 25% of total sales, flat with last year. Commercial vehicles grew 14% at constant currency, driven by strong demand in Europe, Japan and North America. These results are impressive given recent headwinds in China, where there was a significant softening in the demand for commercial vehicle products. Even with the downturn of this business in China, commercial vehicles represented 19% of total net sales in Q4 2022 unchanged from 2021. Our aftermarket business remained strong, growing 40% at constant currency over the last year and comprises 13% of net sales, up from 12% last year. Overall Q4 growth was driven across all products partially offset by FX. Turning to Slide 8, we show our Q4 adjusted EBITDA bridge, compared with the same period last year. While these periods volumes were virtually flat, with the same period last year, adjusted EBITDA of $140 million represented an $11 million improvement. This performance mainly attributed – is mainly attributed to improvements in inflation pass-through in productivity. R&D investment increased by $4 million as planned. And we continue to dedicate over 50% of total R&D to new technologies. Overall, operating performance improved by $23 million year-over-year and was partially offset by the impact of a weaker euro. As mentioned earlier, the adjusted EBITDA margin in the quarter was 15.6% versus 50% last year, and includes the dilutive effects of 70 basis points from FX and inflation pass-through, without which puts our margin in the solid 16% range. Overall, Garrett delivered improved results in a flattish volume environment, offsetting inflation and the weaker euro in Q4. Turning now to Slide 9, we show our 2022 performance compared to the prior year. On a full year basis, 2022 reported net sales were down 1% on a GAAP basis, essentially flat at $3.6 billion and up 8% at constant currency. The geographical revenue split was affected by lower volume in China associated with continued COVID lockdowns, which caused net sales in Asia to decrease by 3% and was offset by an increase in North America. Adjusted EBITDA of $570 million for 2022 was at the high end of our previously provided 2022 outlook, but lower than 2021 by $37 million, and includes an unfavorable FX impact of $67 million due to the weaker Euro. The adjusted EBITDA margin of 15.8% for 2022 was down 90 basis points with the vast majority of this variance driven by FX and inflation pass-through. Without those impacts, the margin would have essentially been the same in both periods. Adjusted free cash flow of $313 million for 2022 was lower than last year by $54 million due to lower adjusted EBITDA and increased capital expenditures. Now, let me walk you through the specifics of each of these items. Turning to Slide 10, we show our net sales bridge by product category for the full year of 2022 as compared to 2021, which shows a similar trend to what we discussed earlier regarding Q4. Garrett's delivered growth across all verticals, particularly in gasoline products, where we expect to become number one globally and 2023. We expect our share of demand, gain to be a key driver to higher sales volumes in 2023 in an essentially flat global production environment. This growth translated into $274 million in operating performance improvement in 2022, which is offset by the impact from FX of $304 million, as the euro dollar rate declined from 1.18 in 2021 to 1.05 in 2022. Without the FX impact on a constant currency basis, net sales increased 8% in 2022. The key drivers of this operating performance were passed-through of higher costs and a flat volume environment, improved mix, primarily across commercial vehicle and aftermarket products and higher gasoline volumes from share-of-demand gains. In 2022, gasoline product sales increased $183 million or 13% and comprised 41% of net sales, up from 39% in 2021, driven by volume growth as well as new program launches.  Diesel products grew 1% for the year at constant currency, adding $12 million to sales in 2022 and comprised 26% of total sales versus 29% last year. Commercial vehicles grew 3% at constant currency, driven by strong demand in Europe, Japan and North America. Again, these results are impressive, given recent headwinds in China, where we saw significant softening in the commercial vehicle industry. Commercial vehicles represent 19% of total net sales, flat with last year. Aftermarket was up 15% at constant currency year-over-year and comprises 12% of net sales, up from 11% in 2021. Overall, revenue growth was driven by improved mix and inflation pass-through, but offset by FX. Turning now to slide 11, we show the adjusted EBITDA bridge for the full year 2022 versus 2021. We continue to successfully pass-through inflation, while delivering on productivity and investing in new technology for the future. For 2022, slightly lower volumes were offset by mix for a positive net impact of $17 million compared to the prior year. We delivered on productivity and pass-through inflation, which more than offset all inflationary pressures and a higher R&D spend for the year. In total, we produced $30 million in operating improvements versus 2021, which was offset by a weaker euro that negatively impacted full year adjusted EBITDA by $67 million. Over the year, we invested an additional $70 million in R&D as planned. And we continue to dedicate over 50% of total R&D spending to electrification technologies. Total 2022 adjusted EBITDA of $570 million was lower by $37 million due to FX headwinds offsetting operational improvements. The 2022 adjusted EBITDA margin came in at 15.8% versus 16.7% last year. On a full year basis, adjusted EBITDA was lower by 90 basis points -- of which 90 basis points due to the combined impact of FX and inflation pass through. In summary, Garrett had another year of strong operational performance, delivering productivity and passing through inflation, while continuing to invest in new technologies. Moving to slide 11. We show the adjusted EBITDA to adjusted free cash flow bridge for 2022. Garrett delivered solid adjusted free cash flow of $330 million despite lower than expected volumes in Q4, and this performance was within our full year outlook at the low end of the guidance range. Adjusted free cash flow was impacted by a use of working capital of $22 million, driven by a lower Q4 volume versus Q3 sequentially. Cash taxes were $42 million. Capital expenditures came in at $91 million, including $8.7 million for electrification technologies. And cash interest was $37 million. In addition, the Series B preferred stock interest was $28 million and represented our final payment as the Series B was fully redeemed in 2022. Overall, this solid cash flow generation in a volatile environment allowed Garrett to improve liquidity. Turning to slide 13. We ended 2022 with a strong liquidity position of $721 million, comprised of $475 million of undrawn revolving credit facility capacity, and $246 million of unrestricted cash, which decreased $97 million sequentially -- which increased $97 million sequentially, ended after the $42 million payment at year end for the Q4 Series A dividend settled on January 3, 2023. During Q4 we repurchased $2.5 million of series a preferred stock. Moreover, we paid a total of $83 million of Series A cash dividends for Q3 and Q4 combined. Garrett significantly improved its leverage ratio in 2022. Driving our net debt to the last 12 months consolidated EBITDA ratio to 1.64 times in Q4 of 2022, down from 1.95 times in Q4 2021. Robust and consistent cash generation has enabled us to simplify and deleverage our balance sheet. In early 2022, Garrett completed the full redemption of the $595 million in Series B preferred stock issued in emergence, and we received a debt rating upgrade from Moody's increasing our rating from Ba3 to Ba2, with a stable outlook. Changes in the Term Loan B balance are primarily driven by exchange rate movements in the Euro that you see in the table above. As of year end 2022, 80% of our long term debt is at fixed rates during the year, and during the year we increased our revolving credit facility to $475 million from $300 million at year end 2021. And finally, on the bottom of the left slide, you will see we had a combined equity market cap at the end of the year over $2.6 billion, when you include both the common stock and our Series A. Now, I'll move to slide 14, where I'll provide you with our outlook for 2023. As with prior practice, we provide our high and low ranges of our expectations, with the midpoint of our guidance being as follows. Net sales of $3.7 billion, representing a growth at constant currency of 3.5%; net income of $278 million; adjusted EBITDA of $585 million; net cash provided by operating activities of $440 million; adjusted free cash flow of $350 million. As mentioned, our full year 2023 assumption for the Euro Dollar is 1.05, flat in 2022. On R&D and capital expenditures, we expect to continue to spend at 4.6% and 2.4% of net sales respectively flat 2022. It is important to note that more than 50% of R&D and 20% of capital expenditures will be spent on our electrification technologies in this year. A greater detail, I pointed to the reconciliations of each of these metrics to the nearest GAAP figure as shown in the appendix to this presentation. In summary, our 2023 outlook is for continued adjusted EBITDA growth and solid cash generation in a volatile macro economic environment. I would now like to hand it back to Olivier for his closing comments.
Olivier Rabiller: Thanks, Sean. Wrapping up with the summary on slide 15, I'm very pleased with the performance of the Garrett in 2022. We delivered net sales of $3.6 billion, down 1% on a GAAP basis, but up 8% at constant currency versus 2021. We've achieved strong operating performance generating $570 million in adjusted EBITDA successfully offsetting inflation, and near the high-end of our latest outlook. We achieved an adjusted EBITDA margin of 15.8% for the full year of 2022, which includes 80 basis points of dilutive impact from FX and inflation pass-through. In Q3 and Q4, we paid our Series A dividend in cash, which was supported by solid adjusted free cash flow of $313 million for the year. We continue to invest above 50% of our R&D into electrification technologies, and we have one new predevelopment contracts with major OEMs. In 2023, Garrett plans to grow in an industry flat, thanks to our new launches and the growing share of demand. We expect this to translate into full year outlook of $585 million in adjusted EBITDA and $350 million in adjusted free cash flow. Overall, I'm quite pleased with the performance of Garrett in 2022 and I'm looking forward to an even better 2023. I would like, in closing, to thanks once again, all of our employees around the world for that dedication and resiliency as their contribution and flexibility drove a successful 2022 for Garrett and positions us very well for 2023. Operator, with that. I think we are now ready to begin the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Hamed Khorsand from BWS Financial. Please go ahead.
Hamed Khorsand: Good morning -- sorry, good evening, since you're in Europe. First off, I just wanted to ask you as far as the new turbos are considered, fuel cell and the E-Axle, when can you actually see these come to market and generate revenue in a meaningful way not just being just nominal news from you?
Olivier Rabiller: So, just -- Hamed that’s a great question. Just a correction for everyone. When we talk about E-Axle, or when you talk about fuel cell, we're not talking about turbochargers. We are talking about new products that are not turbocharger, we are talking about electric motors plus the gear box, plus in the injector that are in fact the propulsion system of any kind of electrified vehicle, whether it's battery electric vehicle, fuel cell vehicle or hybrid vehicle. So, we are today targeting technology differentiation, which is important. This company is about technology differentiation, it's not about just achieving content on vehicle the channel, but technology differentiation, there is a significant difference between the two. And as the first wave of electrification in the industry was directed at providing customers with a solution available to buy battery electric vehicle, our focus is pretty much on the second wave where customers meaning OEs are trying to differentiate from each other by working on the efficiency of those solutions in order to bring technology to their customers. So, we are pretty much targeting the second wave. So, think about it as programs that will start in production before the end of the decade.
Hamed Khorsand: Okay. And then, but you you've been talking about new products for the past year, has there been any traction as far as generating the sales or has it really all been trials and with different OEMs?
Olivier Rabiller: I think we've -- specifically to the E-Axle, I think very early we've said that we have an expertise in this company, which is the ISP. Nobody else is running electric motors at the speed at which we run that. And we were looking at opportunities which differentiate with those high speed solutions for the mainstream battery electric vehicle. We've been working on that silently with a lot of customers. And we are going to pre-development contract, which is very significant in our world, because it means that there is a customer that believes into our solution and start to put money behind it. But that's the milestone that we are sharing with everyone today.
Hamed Khorsand: And my last question was given the cash increase in Q4 from Q3, in 2023 what's going to be the primary allocation of cash, is the debt balance Series A preferred buying back more shares?
Sean Deason: Hi, Hamed, this is Sean Deason. For us, as you know we've paid the Series A dividend in cash last two quarters. You can expect that we'll continue to do that. And then we'll be evaluating the best use of the excess funds whether that's share buybacks or payment of the accrued dividend amount that we're still carrying. And from there, really just trying to get line of sight to when we think the capital structure will normalize. As of right now, our midpoint guide does not allow us to achieve the $600 million, two quarter target. And then you also have the trigger of the 75-day V-WAP on the share price of $7.88. But we do think if we see some tailwinds from FX, and perhaps volumes come in a bit higher, we could be in a position to start to meet those targets by the end of the year. But again, there's a lot of there's a lot of uncertainty in the second half still. So, we are forecasting growth in the second half, we need to see how the macroeconomic environment unfolds.
Hamed Khorsand: I did have one follow-up. Sorry, you reminded me to ask you, given that your guidance is not $600 million, what is holding you back from achieving, is the product mix not carrying the margin you're looking for, or are you seeing headwinds as far as passing through further cost increases?
Olivier Rabiller: Maybe, first, to correct the perception. I think we did achieve a great margin in 2022 with the recovery of the inflation with customers and the productivity efforts we did. So we are basically at quite a high level. If you consider on top of that the fact that we had increased shift between results together. So I think we are delivering quite well in the company. If you look at the bridges that we've shared today, we have basically two things that are holding us back. The first one is FX. That's an obvious one in the bridge, we are very much exposed to euro, and therefore, this has a negative impact on the margin that we report. And the second one is, obviously, that the market has been slowing down quite a bit and is pretty much slightly up versus PY, and even if we are growing faster than the market, as we explained today, we've grown faster than the market in 2022. We will grow faster than the market in 2023 thanks to the sharp demand gains that we have, a little bit of more strength on the end market with our purse, obviously, grow faster above some of the milestones that that we talked about.
Hamed Khorsand: Okay, great. Thank you.
Operator: [Operator Instructions] Our next question comes from Eric Gregg from FTIA. Please go ahead.
Eric Gregg: Congratulations on the strong quarter and the good outlook. Just one more question on the capital allocation. What is holding you back? Your cash is up over the last quarter from paying out the accumulated unpaid dividend on the Series A preferred, given that that compounds at such a high interest rate, it would seem like a high priority to get rid of that. Thank you.
Sean Deason: Sure. As I mentioned, that's something we're considering. We have to take the full macroeconomic outlook into accounts. But as I mentioned earlier, that is one of the top priorities we're looking at to utilize our excess cash, excess liquidity.
Eric Gregg: Thank you.
Operator: Our next question comes from Chris McIntyre from McIntyre Partnerships. Please go ahead.
Chris McIntyre: Hey, good morning or afternoon guys. Can you talk a little bit about the pace of the VNT ramp and like how and when you expect that to start impacting margins? Thanks.
Olivier Rabiller: So Chris, your question is about the VNT ramp? And when do we expect that to get into our margin? Quite frankly, the VNT ramp has started already. I mean, in 2023 will be a significant increase in VNT production. When does it translate into our margin? We are already seeing the benefits of that. I would say, that I'm sure Sean can comment on this further.
Sean Deason: Yes, as the technology penetrates and starts to displace Wastegate. You will see overall gasoline margins start to improve a bit. As you know Wastegate gasoline is one of our lower margin product products. But that does take some time and the programs have to launch and then also ramp up. We see growth in 2023, primarily in China on VNT small gasoline engines launching in the second half. So the margin benefit of that wouldn't necessarily be completely recognized in this in 2023, as these programs have to ramp up and there's always a higher cost being launch program into the market. But I think going forward into 2024 and in the future. If we see penetration rates increased like the industry is forecasting, you'll see the gasoline margins creep up.
Olivier Rabiller: Maybe one addition, if you remember Chris, when we did the spin-off, well I think a shell of gasoline as percentage of revenue that was in the mid 20s. And everybody was predicting that as we are transitioning together in we would see a very significant margin dilution. The increase margin – the VNT increase on the gasoline side is one of the reason why today, we have 42% gasoline and we are still adding very strong margin
Chris McIntyre: Am I right, if you think about it is like a 500 basis point gross margin sort of benefit on those units obviously, not.
Sean Deason: On some it's possible but I wouldn't use that as your average. It can be anywhere from two to five, depending upon the product we're in product complexity. Again, the reason gasoline is lower margin is because it has a higher nickel content because of the level of temperature burns out.
Olivier Rabiller: Yes, and not really included too much into details but the other temperature, the monitor you have and therefore the more you have the negative impact on the margin, let me tell you up, so you would have to study already same kind of exhaust temperature, same size of engine. It's a bit more complex than just getting to a proxy like that.
Chris McIntyre: Sure. And – as I think about like you guys have done very well on, like, just keeping SG&A, despite all the craziness in the world and inflation and whatnot, pretty flat, right? If we were to get a volume tailwind this year, like where do you think -- if finally auto has a -- not a semiconductor issue and everything else, like, where do you think SG&A ramps relative to an increase in like sales base, in say like a 10% market growth area.
Olivier Rabiller: Well, what we -- when you look at the way the cost structure of the company is build up, and I'm giving you the glide-over view. So we have positioned ourself to deliver a stronger with assumptions on the industry that are flat. Meaning, in contradiction with some of the consultants, we did not factor any tailwind from industry growth and I'm saying industry growth is like [indiscernible]. Because -- and history has shown that, when you look at the last two years, everybody was wrong. So we decided to position the company right from the fixed cost standpoint to deliver in an industry that would be flat; doesn't mean that we are flat, because we are growing in volumes, thanks to our share of demand growing and the turbo penetration growing. So, quite frankly, when you look at the way we have planned the year, when fixed cost offset, there is no reason for a significant increase of fixed cost that would be driven by volume up. We have very significant portion of our cost that is variable, which is a way to protect on the downside, but it's also a way to deliver on the upside. So that's the way we are thinking about it.
Chris McIntyre: Great, great. Thank you, guys, very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Olivier Rabiller. Please, go ahead.
Olivier Rabiller: Thank you. Well, thank you all for your time you spent with us reviewing the results of 2022 and the outlook for 2023. I'm quite pleased about what we deliver and then the way we've positioned the company in 2022. We have been planning very carefully 2023, as we've said on the call, depending on the macroeconomics. It could be better, but we have prepared the company to deliver in a flat environment and we are looking forward to 2023 to be a strong success that will reinforce our financial position and given -- give us, sorry, even more options for the future. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.